Operator: Greetings, and welcome to Aehr Test Systems' Second Quarter Fiscal 2024 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Jim Byers of MKR Investor Relations. Jim, you may begin.
Jim Byers: Thank you, operator. Good afternoon and welcome to Aehr Test Systems' Second Quarter Fiscal 2024 Financial Results Conference Call. With me on today's call are Aehr Test Systems' President and Chief Executive Officer, Gayn Erickson; and Chief Financial Officer, Chris Siu. Before I turn the call over to Gayn and Chris, I'd like to cover a few items. This afternoon right after market close, Aehr Test issued a press release announcing its fiscal 2024 second quarter results, that release is available on the company's website at aehr.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I'd like to remind everyone that on today's call management will be making forward-looking statements that are based on current information and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Those factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in the company's most recent periodic and current reports filed with the SEC. These forward-looking statements, including guidance provided during today's call are only valid as of this date, and Aehr Test Systems undertakes no obligation to update the forward-looking statements. And now with that, I'd like to turn the conference call over to Gayn Erickson, President and Chief Executive Officer.
Gayn Erickson: Thanks, Jim. Good afternoon, everyone, and welcome to our second quarter of fiscal 2024 earnings conference call. Thanks for joining us today. We'll start with a quick summary of the highlights of the quarter and the continued momentum we're experiencing in the semiconductor wafer level test and burn-in markets, then Chris will go over the financials in more detail. After that, we'll open up the lines to take your questions. We had another solid quarter with strong year-over-year growth in revenue and net income, both ahead of consensus estimates. Revenue for the quarter was $21.4 million, an increase of 45% year-over-year and we generated non-GAAP net income of $6.7 million, slightly over 31% net profit. For the first half of the fiscal year, we grew revenue 65% over the same period last year. We continue to see increased demand for our wafer level burn-in products and remain confident about the future demand for our unique technology solutions and the multiple market opportunities they address. In just the last 60 days we've seen how the slowing of the growth rate of the electric vehicle market has had a negative impact on the timing of several current and new customer orders and capacity increases for silicon carbide devices used in them. For clarity, we do not see the silicon carbide market actually decreasing, only a slowing of the growth rate and we've seen delays in both current customer and new customer purchase orders for production ramps to meet those electric vehicle demand, compared to what we are expecting even within the last several weeks and days. I'll discuss more detail on our new customer engagements, but a very large customer that we've been engaged with on a significant automotive benchmark, in particular, has modified their timing for taking multiple production systems, which we feel most likely pushes them out of this fiscal year and is reflected in our lowered revenue forecast for this fiscal year. Recent announcements from some automotive semiconductor suppliers of slowing growth due to their customers stockpiling parts suggests that the automotive semiconductor slowdown may be due in part to a temporary excess in inventory. But in addition to slowing sales of automotive worldwide -- automobiles worldwide related to overall caution by automotive buyers due to increased interest rates and its impact on new auto sales. Multiple companies were engaged with our large suppliers of automotive semiconductors and they have put in place temporary cost control measures that have trickled down to even silicon carbide plans, which we have heard are the area least impacted due to the expected growth that is forecasted by their customers. As a result, we've seen delays in customer ramps and capacity expansion plans, which has resulted in delays in expected existing and new customer orders for our products. We're also experiencing the impact of shifts in our customers' product mix, which specifically includes an increase in WaferPak, Wafer Contactors for our largest customer. As our customers shift from one design to another, they will order additional WaferPaks from us to be able to test and burn-in those wafers. In the case of a large shift in the customer mix, this can be a very large number of WaferPaks. Our largest customers' overall forecast for revenue with us has actually remained relatively flat for the year, but the revenue mix has shifted to fewer systems and more WaferPaks. Given the latest forecast from our customers and the uncertainty on the timing of their orders, we believe it makes sense to take a more conservative approach to our fiscal year forecast and have reduced our growth estimates for fiscal 2024 revenue. We're reducing our revenue expectations of at least $100 million this fiscal year by 15% to 25% to a range of $75 million to $85 million in revenue. This is still a growth rate of 15% to 30% year-over-year. Despite this uncertainty in timing of orders, we remain confident about the future demand of our unique semiconductor test solutions in the markets we address. We have not reduced our revenue -- our growth expectations for the years ahead, where we continue to see tremendous opportunity. We continue to hear from our current customers as well as companies who are engaged in evaluations with that wafer level burn-in is critical to their product roadmaps to address multiple large and growing markets, including battery and hybrid electric vehicles, industrial and solar power conversion, data and telecommunications infrastructure and the new incoming optical IO and co-packaged optics semiconductor markets. Well, let me discuss our progress with silicon carbide and gallium nitride power semiconductor customers. As a reminder, silicon carbide is a compound semiconductor, their thermal conductivity that's three times better than that of silicon and the dielectric breakdown strength of SiC (ph) is around 10 times better than silicon, making this much better for high-voltage high-power applications. Silicon carbide has become the semiconductor of choice for use in electric vehicle power conversion and chargers. And in particular, it is a key differentiator in the motor traction inverters due to the longer-range and faster charging the electric vehicles using silicon carbide C. Silicon carbide semiconductor devices have a very high relative early life failure rate compared to pure silicon, but these failures can be weeded out with special electrical and thermal stresses referred to as burn-in, such as those supplied by Aehr's family of FOX Wafer level test and burn-in systems and our proprietary WaferPak full Wafer Contactors. Our WaferPaks make electrical contact to the tiny electrical pads of the semiconductors while still in wafer form and are unique and specific to each customer device and wafer layout. Customers are moving from package or module form of burn-in to save on the yield loss of the packages, in particular, for multi-die modules used in the new electric vehicles. Aehr has a unique solution for being able to test thousands of silicon carbide devices at a time on a single wafer and also up to 18 wafers at a time, so that our customers can remove extrinsic failures to get the quality and reliability critical to the electric vehicle suppliers in an extremely cost-effective way. We can do this testing and burn-in while ensuring that every single device is proven to be burned in before they're shipped to the end customer. This cost-effectiveness and assurance that 100% of the devices are burned in is critical to this market. Last month we announced our first order for our FOX Wafer level test and burn-in system to be used for gallium nitride devices. This customer is a leading global supplier of semiconductor devices used in electric vehicles and power infrastructure and adds another major customer to the list of companies using Aehr's FOX products for Wafer level test and burn-in of wide-bandgap compound semiconductors. We were already able to ship this system within a few weeks to them to meet their needs. We're now working with two of the market leaders in gallium nitride, which positions us front and center in a market that we believe is another potential growth driver for our wafer level solutions. Gallium nitride is similar to silicon carbide and that both of these compounds semiconductors are considered wide bandgap semiconductors that are more efficient and higher voltage power conversion applications than pure silicon semiconductors. We believe that gallium nitride market is another potential growth driver for our wafer level solutions, particularly for automotive and photovoltaic applications where burn-in appears to be critical for meeting the initial quality and reliability needs of those markets. We continue to make great progress with our previously announced benchmarks and engagements with prospective new customers, including the significant automotive qualification of wafer level burn-in we've been doing with one of the market leaders in silicon carbide. We believe we have a large opportunity with this potential new customer and feel confident they'll move forward with our FOX-XP multi-wafer solution for their high volume needs, but the timing is taking longer than anticipated. We remain confident that we will receive initial purchase orders from them in fiscal 2024. However, it's not clear whether they will have infrastructure ready to take shipments from us within our fiscal year that ends May 31st. We’ve made significant progress in expanding our customer base for silicon carbide or SiC and gallium nitride or GaN wafer level burn-in for a wide variety of applications. We currently have a total of seven customers purchasing our solutions for SiC and GaN devices and are also actively engaged with more than two dozen SiC and GaN companies to address their needs for wafer level test and burn-in of these devices. Importantly, 10 of these additional companies have already engaged with Aehr for on-wafer benchmarks. We have never lost a full wafer level burn-in evaluation since introducing our FOX-NP and XP systems configured with silicon carbide and gallium nitride test resources. And we believe we will have over 12 silicon carbide/gallium nitride customers buying our wafer level test and burn-in solutions by the end of this calendar year 2024. These companies are projecting revenue growth and the need for burn-in in their devices at the wafer level to weed out early failures that would otherwise show up in their devices or modules or worse in their customers' applications. We firmly believe that Aehr provides the most competitive solution to burn-in devices that will be used in power modules and have shown examples where our cost of test and burn-in is significantly cheaper to do in wafer form than in the historical package part form. Packaged part burn-in is an option for discrete devices and individual packages, but the yield placing multiple devices in a single package or in modules exceeds the cost of test significantly. For example, at a loss of 1% per die during burn-in, a module containing 32 die experienced a 32% yield loss of the entire module, and all the die inside it are thrown away if they're burnt in at that module level. This is a real-life example that we've seen across every customer we talk to. In anticipation of both our current and new customers' forecasted needs, Aehr has put in place the inventory, infrastructure, and processes to increase our manufacturing and installation capacity, as well as significantly lower our lead times to meet growth in our customer capacity needs. This allows us to ship a large number of systems and WaferPaks within the same quarter that we received purchase orders, which is certainly the case in this current fiscal year. While we've seen delays in orders from our automotive customers, we're actually seeing a pickup in opportunities for silicon carbide wafer level burn-in for applications outside of the electric vehicle market, which includes the industrial solar and commuter electric trains as the efficiency and value silicon carbide is being recognized for these additional markets. Even though the largest market opportunity for silicon carbide is still electric vehicles and charging infrastructure, industrial and other power conversion market segments represent significant additional opportunities for silicon carbide for Aehr's products. William Blair forecasted that the total silicon carbide market is growing at a CAGR of greater than 4% annually to $8.5 billion in 2025 and over 25% of that will be in industrial and energy power conversion applications. As we noted on last quarter's call, we're also seeing a continued stream of new designs for our WaferPaks, as more and more electric vehicles are coming online with their own specific device designs for inverters and onboard chargers. Our proprietary WaferPak Contactors are needed with our FOX wafer level test and burn-in systems to contact with the individual die on the wafer and are designed specifically for a given device. As our customers win new designs from their customers, Aehr will eventually secure orders for new WaferPaks to fulfill these new wins. With each new design, our customers will need enough new WaferPaks to meet the volume production capacity needed for those new devices. Last quarter we mentioned that our new WaferPak and applications test program design volume has tripled over the past previous nine months and this quarter will be a new company record for new WaferPak designs for customers. Each design can turn into a high volume production application driving 10s or even 100s of WaferPaks needed for production, highlighting the recurring revenue part of our business. We believe that for the semiconductor test markets we serve, our customers desire if not require short lead times for test and burn-in systems and particularly for the WaferPaks used with them. During this fiscal year, we've been able to increase our manufacturing capacity to enable us to ship up to 50 or more FOX test blades per month representing 50 or more wafers, a full wafer test and burn-in capacity each month. We have the supply chain infrastructure and process in place to increase this another 50% by the end of this fiscal year and heading into our fiscal 2025 that begins June 1st. We've increased our WaferPak capacity to not only support WaferPaks for new systems, but also for our installed base of systems, so that customers can purchase and ship large quantities of WaferPaks within a few months. We believe the added inventory, increasing capacity, shorter lead times are creating an even larger competitive advantage for us, which in turn will result in continued market share expansion and growth in the markets we serve. So let me move on and talk a little bit about silicon photonics. We remain very enthusiastic about this market, which includes the current photonics transceiver market used in data and telecommunications and the upcoming application of silicon photonics integrated circuits for use in optical chip-to-chip communication, which we see as a major market opportunity. These next-generation silicon photonics-based integrated circuits can require up to 2 times to 4 times as much power for full wafer test and burn-in and stabilization and our new high-power configuration of our FOX production system which can be used to test and burn-in these new optical IO devices expands the market opportunity for the FOX-XP system even further. We've been making good progress on our new volume production FOX-XP system for these very high-power silicon photonics device wafers and expect to ship this system by the end of our current fiscal third quarter to fulfill our first order from our current major silicon photonics customer that we received last May. The system is configured to enable cost-effective production test of up to 3500 Watts of power per wafer and up to nine full wafers in parallel and also includes our latest chamber configuration, which has a smaller overall footprint. This new system is also Auto Aligner ready enabling our customers to easily doc this to our new FOX WaferPak Auto Aligner for hands-free operation of wafers from six to 12 inches using industry-standard wafer cassettes and FOUPs. This new FOX-XP configuration allows for the testing as many as 8000 high-power optical devices in parallel on each of nine wafers before they're singulated and placed into a photonic application such as fiber-optic transceiver modules or for replacement and co-packaged optics for optical chip-to-chip communication devices, such as those that have been announced on product roadmaps by companies including NVIDIA, Intel, AMD, TSMC and GlobalFoundries. These photonic ICs required an extra step in their manufacturing process referred to a stabilization or aging, where the devices experience varying degradation and then stabilize their optical output power as a function of the input power. This is critical to stabilize before integration into a transceiver or optical chip-to-chip communication package. This process step takes many hours or even more than 24 hours for the stabilization and is critical to do before the die is integrated into the system. Aehr provides a unique solution for doing the stabilization of all devices while still in relatively easy and repeatable wafer form. One key challenge in doing this in massive parallelism up to and including all the devices in the single wafer is the power and power density of testing the devices in this form. The stabilization requires very high power and this not only requires a test system to deliver the high power to the wafer, but all the power to the wafer must be removed in the form of heat to keep it from literally destroying the devices. Aehr can not only provide precise regulating calibrated voltage in current devices on a wafer up to 3500 Watts per wafer and nine wafers at a time, but we can also remove this power while maintaining a uniform temperature across all the wafers. At this time, we believe we're the only company providing -- both providing and removing this much power to silicon photonics wafers and are also doing it up to nine wafers at a time. This is a key differentiator in what we believe is an enabler for the capacity and scale needed to address the high-power photonic integrated circuits used in very high-speed optical transceivers, and also the up-and-coming, optical chip-to-chip communication devices market. As I noted on our last call, Aehr currently has six customers using our systems for production test of silicon photonics devices. We're watching this market very closely and are working with some of the leaders in silicon photonics to ensure that they have the products and solutions available to meet their needs for this potentially significant market application. Let me conclude. We expect continued strong demand for our wafer-level burn-in solutions given the continued growth forecast for the markets we address and the expanded market opportunities we're seeing. While we reduced our growth estimates for fiscal '24 revenue given the uncertainty on the timing of customer orders, we believe we remain well-positioned to capitalize on the incredible growth of this industry and are poised for continued solid growth for years to come. With that let me turn it over to Chris, and then we'll open up the line for questions.
Chris Siu: Thank you, Gayn. Good afternoon, everyone. We're pleased to announce another solid quarter for Aehr Test Systems, with strong year-over-year growth in revenue and net income, both ahead of consensus estimates. Let me summarize our results for the fiscal second quarter. Second quarter revenue was $21.4 million, up 45% from $14.8 million in Q2 of last year. Strong demand in all revenue categories including systems, contactors, and services contributed to a significant year-over-year increase in revenue in the second quarter. WaferPak revenues were $9.2 million and accounted for 43% of our total revenue in the second quarter, which was consistent with 45% of our revenue in the prior year quarter. Customers typically buy WaferPaks from us, subsequent to purchasing our FOX systems. We're seeing continued momentum for new WaferPak designs with existing and new customers to meet their customer and market requirements. As Gayn noted, we've seen how the slowing of growth in the electric vehicle market has had a negative impact on the timing of several current and new customer orders and capacity increases. As a result, bookings in the second quarter were $2.2 million and our backlog as of quarter-end was $3 million. We expect orders for systems, WaferPaks, Aligners and Services in this and next quarter in time to support our latest revenue forecast. GAAP gross margin for the second quarter came in at 51.1%, down from 53.4% in Q2 last year. The decrease in gross margin is primarily due to high inventory reserve and increased period costs. Operating expenses in the second quarter were $5.5 million, up 24% from $4.4 million in Q2 last year. The year-over-year increase is primarily due to previously noted increased headcount-related expenses to support our worldwide sales and marketing efforts, along with our R&D programs. Our investments in sales and marketing staff continue to have a positive impact on expanding our customer engagements in the US, Asia, and Europe, and marketing reach to support revenue growth. The increase in R&D in Q2 from the same period last year was primarily due to costs associated with development programs for augmenting features and performance of our Automated Wafer Aligner and higher personnel expenses. The first order for our integrated Automated Aligner that was shipped in the fiscal first quarter of 2024, was accepted by our customer in the fiscal second quarter. We continue to bring in R&D talent and invest in R&D programs to enhance our existing market-leading products and to introduce new products to maintain our competitive advantages and expand our applications and addressable markets. Non-GAAP net income, which excludes the impact of stock-based compensation was $6.7 million or $0.23 per diluted share for the second quarter. This is up from non-GAAP net income of $4.5 million or $0.16 per diluted share in the second quarter of fiscal '23. Turning to the balance sheet, we continued to maintain a strong cash position on our balance sheet. Our cash and cash equivalents were $50.5 million at the end of Q2, flat from our cash and cash equivalents balance of $51 million at the end of Q1. With a strong balance sheet, we can continue to invest in scaling our business. Over the past six months, we have invested financial and human resources in improving our own infrastructure to support the continued growth of our business. We recently went live with a new human resources information system in Q4 and are implementing a new enterprise resource planning system that will provide more sophisticated functionalities and capabilities to support decision-making and compliance. We expanded our policies and procedures in various functions to provide more internal control and structure. We have made improvements in our supply chain and engaged with contract manufacturers that offer more value-added quality components and services to support our growth. We used $0.5 million in operating cash flows during the quarter to procure inventory components to support our revenue target in fiscal 2024. Even though our book-to-bill ratio is less than one, we believe we have the necessary inventory components to build products quickly and ship them to our customers when we receive purchase orders from them. We have zero debt and continue investing our excess cash in money market funds. Interest income earned during this favorable interest rate environment was $631,000 in the second quarter, compared to $263,000 in the second quarter last year. In Q3 of last year, we announced an ATM offering of up to $25 million in shares of the company's common stock on the open market. We've received gross proceeds of $7.3 million on the sale of 209,000 shares in fiscal 2023. We did not sell any shares during our last three fiscal quarters. As of the end of the second fiscal of 2024, the remaining amount available under the ATM offering was $17.7 million. It remains our plan to only sell shares against this ATM offering at times and prices that are most advantageous to our shareholders and to the company. Now turning to our outlook for the current fiscal 2024 year that ends on May 31st, 2024. As Gayn noted, we expect continued strong demand for our wafer-level burn-in solutions for the markets we currently address, as well as increased demand from the new market opportunities we're seeing. However, given the latest customer forecast and the uncertainty on the timing of their orders, we believe it makes sense to take a more conservative approach to our fiscal year forecast and reduce our growth estimates for fiscal 2024 revenue. For the fiscal year ending May 31st, 2024, Aehr is revising its expected full-year total revenue to be between $75 million and $85 million, representing growth of 15% to 30% year-over-year and GAAP net income of between 20% and 25% of revenue. Even with this more conservative guidance, we expect solid year-over-year revenue growth and believe we are poised for continued strong growth for years to come. Lastly, looking at the Investor Relations calendar, Aehr Test will be meeting with investors next week at the Needham Growth Conference taking place in New York. We will be meeting with investors throughout the day on Wednesday, January 17, and until noon on Thursday, January 18, and hope to see some of you at this conference. This concludes our prepared remarks, we're now ready to take your questions. Operator, please go ahead.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] First question today is coming from Christian Schwab from Craig-Hallum. Christian, your line is live.
Christian Schwab: Thank you. Gayn, can you give us some indication of how you would anticipate the revenue orders to come and support in the second half of the year? Are you assuming the vast majority of the revenue you're guiding for the fiscal year will come in the May quarter? And [Multiple Speakers]
Gayn Erickson: Yes, no, that's a fair question. We were - given where the orders are right now with already a chunk into the third quarter, we think that second half or the [indiscernible] Q4 will certainly be bigger than Q3. Maybe but not majority, maybe at 60, 40 spreads or something like that. So we're still expecting orders and have things lined up to ship for this quarter.
Christian Schwab: Okay. Okay. And then, you guys talked about -- Gayn, in your prepared comments you talked about -- we're seeing a slowdown, given all the reasons that you mentioned. But then you went on to say that does not change your growth expectations for years ahead. Can you let us know what are your growth expectations? What do you think the topline growth rate of the company on a multi-year basis will be?
Gayn Erickson: Yes, that's what we probably set ourselves up for that Christian, because as we haven't given any multi-year growth strategy on here. Let me answer it this way instead and I know that we'll be giving next year's guidance in July. I'm not yet sure we'll commit to a multi-year or not. But when we talk to the customer, one of the hardest things about preparing for this call was even -- not even 30 days ago, we were still hearing across the board from our customers bookings and shipments lot requests that were consistent with us exceeding $100 million. It's only been in the last couple -- few weeks that we've seen things including all the way to last weekend, where they've sort of finalized what their plans are and pushed some things out. These customers have not changed their long-term plans, their forecast for their revenue growth, their market share, their silicon carbide, their test times, those kinds of things. We think are still consistent with what we had been [indiscernible] which includes by the way test time reductions over time. Consistent with the models that we generated couple of few years ago, where, if you look at $4 million wafer starts, so thereabouts to support just the EV market, it would take somewhere on the order of 2000 wafers of capacity or 2000 of our blades for the overall market. And so we haven't changed that. And in fact, I'll add one more thing here. Those numbers were based on this -- 30% penetration of 100 million vehicles or 30 million EVs in 2030, I keep using that 30, 30, 30 number. Last year for the bulk of the year, there were many people saying that EVs were going to be faster than that, there will be more than 30% penetration. We actually never repeated that, because our feeling was that just seems too aggressive. So in some ways, people's growth estimates have kind of modulated back to be consistent, I think with those 30, 30, 30 numbers. So in that sense, it hasn't changed our opinion. But if you -- start looking at a discrete customer who was going to put it in start installing tools this spring for having them ready in the fall and they shift things out two or three or four months, all of a sudden it impacts us. And that's the downside of the front end of this. And what I hope people hear today and drop the whole Q&A is, we're trying to be absolutely candidate as possible and what the customers were telling us in previous quarters, we were communicating and now they have changed their timing of it and we're just trying to communicate that to it. We still have the capacity and the capability to exceed $100 million a share. Customers came in and just kidding, I need him after all, we still have the ability to do that. But right now that just doesn't seem like the most likely case. We don't think that is impacting our plans going forward and that we think we still have pretty solid growth expectations for next year and beyond.
Christian Schwab: Just then maybe another way thinking about as we exit this year and go into fiscal year 2025, would you assume that your lead significantly much greater than 10% customer, can you know grow or sustain itself at a material run rate $50 million, $60 million, $80 million. How should we be thinking about -- I understand you don't want to make a proclamation about what is their aggregate demand is, but they've made comments about it. So given their public comments, I guess, let's start with that, how would you anticipate that customer materiality in fiscal year 2025?
Gayn Erickson: I mean, we -- I believe that they will still be material. I don't know that they will be the dominant customer [Technical Difficulty] they'd be or they not be. My guess is, they will not even be the largest, as some of the other customers are kicking in with their ramps. One thing we've tried to look at is, how fast is the market growing itself. I mean, silicon carbide is growing, let's say 40% a year topline revenue. Can we grow faster than that? I think there is examples where we can, but I think it would be more realistic to think that we grow alongside the market itself. But as we displace potential package part burn-in, et cetera, there is opportunities. The wow part of this would be the mix. So as a customer, if they have purchased WaferPaks from us and they're shipping $100 million of the revenue year to a customer, the next year if the devices stay the same, they wouldn't buy any more WaferPaks and certainly not systems to meet that $100 million. If the -- if that customer or our customers' customer grows from $100 to $200, they would buy more systems and more WaferPaks. But if their customer mix or the product mix changes, they might displace all of those WaferPaks. So we would get revenue even though their revenue isn't growing. And that's a very important part of obviously our business for our shareholders but also to our customers that we can continue to generate revenue and have the dollars to spend on R&D and applications and support and new enhancements for their needs even if they're not necessarily buying new systems. But we do think that they will still be a significant customer for us next year. We believe that they -- and are consistent with what they have been telling people their growth plans are. But we think that there'll be other customers, most likely there'll be bigger than them next year.
Christian Schwab: Great. And then my last question, I apologize for so many. Is the Chinese market still is a -- a faster adoption -- adopter of silicon carbide, has numerous manufacturers -- many manufacturers of silicon carbide. Is that a market that you plan on eventually targeting or are you currently targeting?
Gayn Erickson: Let me -- that's a good one, you're taking all the good questions here. But let me talk about the Chinese market because I think there is a change there from last quarter on -- and I'll be giving you more updates probably at the next one. So the Chinese market, certainly the EV market itself is growing very fast. A lot of the things you hear in the US with respect to why people should or shouldn't adopt EVs is just not the case outside of the US in particularly in Asia, and China. Chinese EVs are -- have exploding growth with big suppliers like BYD and NEO and others. We're actually shipping where we know we're testing products that are going into the Chinese market today. So they aren't being tested in China, right, but they're actually being tested on our systems and shipped to it. A lot of the silicon carbide if not the majority is still being supplied outside of China into China. But we see that changing over time as there's a lot of players getting into the Chinese market for silicon carbide. A lot of them in the wafer in itself, but also in devices. In the last quarter, we've had some pretty active conversations with some of the big Chinese suppliers, who candidly are asking us to participate and to engage with them more directly. And we've been having some conversations related to how can we protect our IP there, what would that look like, et cetera. And we are working on some strategies that I'm not trying to keep them from our shareholders, I'm just trying to keep them from our competitors, so we're keeping those close to our chest. But expect some movement there over the next quarter. And I will give you -- some movement in what we're doing. Next quarter, I'll try and give you guys some more update. But there are some key activities going on in China that I think Aehr is going to be participating in.
Christian Schwab: That's great, thanks Gayn. No other questions.
Gayn Erickson: Thanks, Christian.
Operator: Thank you. The next question is coming from Jed Dorsheimer from William Blair. Jed, your line is live.
Jed Dorsheimer: Hey, thanks for taking my questions. Sorry for the background noise, I'm in Las Vegas, meeting with your customer actually. So just Gayn trying to reconcile, it sounds like there was a material change in the last 30 days in terms of demand and visibility to your business. Is that correct? And I just asked that because your largest customer did flag something last quarter, but I want to separate what happened in the past versus what's occurred in the last 30 days. Thanks.
Gayn Erickson: All right. Well, one thing I'm going to start giving people heads up on is, I'm trying to be more thoughtful about giving insight into our customers, to be fair. But I'm going to specifically answer what I think you're implying. Right after our largest customer talked about their change in their forecast, we not only did not hear a negative impact to us, candidly, it flipped around and for a period of time, it was actually an uptick, right, which was a little hard to imagine and explain, but had to do with the wafer pack and the shift to new customers and some other things. Literally in the last seven days, they have reconciled their plans, et cetera. And we've tried to thoughtfully reflect that in the latest one. But again, I actually said in my prepared remarks, their revenue to us is pretty close to what we were expecting when this all came out. So if you want to say the bulk of the $15 million to $25 million decrease was not from them, that was actually from other customer forecasts that have changed over the last, like three to four weeks candidly.
Jed Dorsheimer: Got it.
Gayn Erickson: Our lead customers forecast settled in only in the last week or so. Now, having said that, folks, it may not be the right answer. There's still a range. We took a very conservative stance in hopes there's no way we'll miss it on the low end, but I can see scenarios where we could be higher than the range I gave you. But going out and saying we have a range of $75 million to $100 million just seemed weird silly. And so, we're taking this stance, I think we really think that this is appropriately communicating what the customers are telling us, and we could defend that and we're doing our best to just be open with people. Okay? Q - Jed Dorsheimer That's helpful, I guess, Gayn to that point, though, if I look at what you've done this year versus the guide of $75 million to $85 million and subtract out the delta there, that would imply, if it was equal between each of the next two quarters, somewhere between $16 million and $19 million each quarter. And I know to Christian's earlier question, you said it would be 60:40, but I guess it does beg the question with the current bookings, what gives you the confidence towards the low end there? Because you seem pretty confident in -- that it's been conservative and there would only be upside. But I guess what's giving you that? Is that the sort of verbal commitment that you -- that's happened in the last few weeks with the customers?
Gayn Erickson: Yeah. I mean, I would warn what a verbal commitment really is. We are in constant communication with all of these customers, and our lead customer is [indiscernible] candidly. I'd say that the numbers and the forecasts they've given us have been constant for the last 30 to 60 days but on the low end. And so that's why we have more clarity. I think they have direct visibility of orders that they have from their customers and what that drives in terms of wafer packs and capacity, et cetera. But I will -- my personal belief is I don't think they have perfect visibility. And I think there's a little bit of reaction to the seeming slowdown. But now, with interest rates recovering and perhaps people getting through their inventory, maybe they'll be pleasantly surprised on their side. But, yes, I mean, we're down to knowing -- when we have these forecasts, we know what wafer pack mix it is, et cetera. So we have pretty good visibility. I'd say very good visibility.
Jed Dorsheimer: So two more questions for me. First is, with the inventory that you've built, which is good if you get to move to a turns business and a book and chip. But I'm just wondering whether or not that presents a challenge of holding pricing, whether or not if pricing was to erode it all, would that -- how should we be thinking about a margin impact and then also with wafer pack versus system?
Gayn Erickson: Okay, there's a couple of things. So, first of all, on the inventory, the inventory that we built, we believe is -- allows us to address the needs across all of the markets we've talked about, plus the 2D, 3D sensing, including memory, that we didn't spend much time spending. That -- we built this platform with a mix that basically we can ship to multiple different customers, that gives us the confidence that we bought this material. We're not going to be writing it down or anything along those lines. So that one is really important. We've had a lot of conversation about that. The turns business has the advantage of, you can get an order today and ship a lot in the next month. It has the disadvantage of customers can wait and kind of -- try and hold you up. We're not and have not been in conversations with people and don't really entertain conversations of people trying to hold us over a barrel. If you decrease your price, then I'll place the order or I'll take a shipment. Candidly, we've tried not to do that. I think that's the wrong answer. Would pricing come down over time? We have not been experiencing that. What we have been doing, and we've expressed this to customers, our costs, like everybody else's costs, increased during COVID but we did not pass those on to our customers, even in the extreme cases when shipping costs were out of control. So we've been able to hold our pricing, which, as a vendor, I appreciate a lot. And so, candidly our customers raise their prices on us because we buy their components, but we've been able to hold our pricing even in a time when we're extra competitive and we've not been gouging our customers. And I think that's really important. By the way, I wasn't sure if I was going to do this, I'm going to throw this out publicly out here. We are aware of a scenario where an investor approached one of our customers and had some conversation related to, we believe it was a hedge fund that had our -- short our stock, we had like a 20% short position, approached one of our customers and was complaining to them about how much money we're making. They clearly had a vested interest to try and get the customer to try and negotiate our prices down. And I think that's garbage, but it's not against the law. But I'm publicly pointing that out there. We did not, as a result, lower our prices or something. But people have all kinds of reasons to want to communicate and I might -- by the way, Jed, you just say you're talking to customers, I'm not accusing you of that please, that is not the case. But somebody did, and it really upset our customer. And one of the challenges we need to do in being so forthright with all the information is that people use that information against us in sort of the weirdest of ways. But at this point, we are able to maintain our pricing to our customers, maintain good margins, and that includes on our systems and on our consumables and the WaferPaks, which is critically important for us to maintain healthy growth so we can meet our customers' needs as well. Okay?
Jed Dorsheimer: Thanks for all the color, Gayn. I appreciate it. Look forward to seeing you tomorrow night.
Gayn Erickson: Okay. Thank you, Jed.
Operator: Thank you. [Operator Instructions] The next question is coming from Tom Diffely from D.A. Davidson. Tom, your line is live.
Gayn Erickson: Hey, Tom.
Tom Diffely: Yes, good afternoon. Thanks for the question. Quite a few have been asked already, so I'll stick to a couple of just industry questions for you, if you don't mind.
Gayn Erickson: No problem.
Tom Diffely: Curious where we are as an industry, when we talk about power conversion devices in the move from silicon to silicon carbide? And then inside that, where we are from district silicon carbide to kind of multi die systems?
Gayn Erickson: Okay. So it's interesting, the ISS summit is going on right now, and people have been feeding me slides of what's going on. And that's just an industry forum where large players like Infineon and ST, for example, were presenting and they were showing their roadmaps and talking about the importance of silicon carbide and gallium nitride to the power semiconductor industry and how that fit with silicon. Why that's important is they plus on semiconductor as an example, are not pure plays. They have both silicon IGBT, large businesses, multi-billion dollar businesses, as well as silicon carbide businesses and gallium nitride businesses in the cases of ST and Infineon in particular. So they have I would call it a good balanced opinion about what's going on because they're doing both. They talk about how important it is for kind of a greener planet because of the efficiencies associated with both silicon carbide and gallium nitride and how those markets are going to grow significantly and not only displace some of the IGBT, but create new markets that didn't even exist. So, my feeling is silicon carbide -- we've had a chance to sit in front of customers in Asia and Japan, Europe, US, there continues to be a ton of excitement around silicon carbide and not just in the EVs. And guys, we're not pivoting. EVs are critically important and they're a huge opportunity for Aehr Test. But there's a lot of companies, in fact, the last two customers that placed orders with us, they were not aimed at the EVs. I said that already publicly. They were actually at other applications. And so those companies are making their whole strategy related to -- so there is -- it feels like a little bit of -- silicon carbide was so much around its initial focus, which was, of course, with Tesla model 3 and the invertor, which kind of created the whole segment. But it's like once people have made the investments to put the silicon carbide out there, there are all these other applications that would benefit from it. And to some extent with more suppliers, and I don't want to say pricing reducing as much as it is just availability of it. There's a lot more people getting into it. And so, silicon carbide is the real deal, it's going to certain applications, all the way through the end of the decade, even with all the investment that's going on. Now silicon carbide, kind of the over-under, we've been using this 1000-watt thing. At a 1000 watts and above power transfer, silicon carbide is going to dominate. But for applications of 1000 watts and below, which could be individual servers, microinverters, and solar, certainly all the little chargers for Apple, your devices et cetera, they're all going to be silicon -- they're all going to be gallium nitride, that's what we think. And that'll completely shift away the idea that you're going to have a little transformer that plugs into the wall and heats up and it's the size of your fist to power your computer, that's all going to be gone. There won't be any of those things in a few years. Albeit, these gallium nitride with -- like a solid-state transformers or solid-state converters done through high-speed switching of gallium nitride and to some extent also silicon [Technical Difficulty] I think on the low end, not less than 1,000 watts, GaN's going to win and those things are important. Now, your next question was discrete versus module. This is where we have a show-and-tell on it. We don't do these things with video feeds, but discrete normally refers to a single device sitting in like a package form with the two or three leads from it. Okay? This discrete device, if it fails, it only costs you the packaging. And so, the world had been actually testing those devices in the package form before we got here. And when people said that they're going to put up to, say, 32 of these devices, 10 of these devices, 24, 48, we've seen all kinds of different ones. They put them in multiple die in the same package, we refer that as a module although technically it's still a package, but a module meaning, multiple die inside of it. The yield loss associated with that becomes a real problem. And so, if you had 30% yield loss because you had 30 die in there, I mean, that's pure cost. Your manufacturing cost would be increased by 30%, your output would be decreased by 30%. So that was really what started this wafer level, why it became such a big deal in silicon carbide was because companies were moving to the module level. We still see that transition, that's, like I said, a very public announcements by BorgWarner that's all the US-based guys and more, [FZ] (ph) out of the European ones, the Danfoss folks out of Europe. Volkswagen has publicly talked about this. There is multiple companies the folks out of -- starting to come out of what's going on in Japan and also out of Korea. We think that the bulk and what we've been told by our customers, the bulk of electric vehicles and the big power conversion will all be modules. And so, when they go to modules, they have -- it's so much more cost-effective or even a must to do the wafer level burn-in of those before you put them into modules. And so, that has been the leading indicator that was driving our business. And so, now the question is, did something happen? Have things slowed down to those cars, et cetera? I mean, clearly, we've seen some push outs of roadmaps and stuff from the likes of GM and Ford. I don't think anybody is confused. But I'll tell you what, you don't see that -- is that offset by the pull-in of Toyota, who last February was still maintaining they didn't believe in electric vehicles until the CEO was displaced. We're seeing -- if you get outside of the US, you can just sort of -- you can see the roadmaps for people. I mean, there are companies like -- Hyundai just announced, they just shut down two engine plants, it's like the old Viking days of burning the boats. They're not going backwards, they're getting rid of that. In the US, you can't do that because of unions and things like that. So it's a big contrast and we think that modules are coming, they're going to be from the largest to even some of the smallest automobiles that are out there, and EVs.
Tom Diffely: So even though it's on everyone's roadmap, would you say today it is very, very early in that transition?
Gayn Erickson: I believe still, I do. I mean, not everybody is doing it and -- I don't want to get into anything other than what is publicly described out there. But even some of the shifts with respect to what's going on in Tesla's business has had an implication, because I think people now, and again, I'm not saying anything that's not public. Tesla which started this segment, they actually used a form of a discrete device in their current inverters. It has two die in each device and you can call it a module. And depending on the supplier, they can either do it with package form or wafer level. And some of those shifts could have an impact on us in the near term, but although I don't -- I'm not providing any insight into what Tesla's plans are long term, but the prevailing thought process is that, by the end of the decade and certainly before that you'll see all silicon carbide engines and modules or most of them.
Tom Diffely: Great. I appreciate all the extra color.
Gayn Erickson: Thanks, Tom.
Operator: Thank you. The next question is coming from Matt Smith from Halter Ferguson. Matt, your line is live.
Matt Smith: Yes, thanks. And Gayn, I wanted to kind of piggyback on that last question, I mean hearing everything you've talked about in the longer term kind of prospects around GaN or photonics or even newer markets within auto, am I right to presume that your kind of level of expectation for [Technical Difficulty]
Gayn Erickson: Matt, you just broke up on your last sentence. Our level of expectation what?
Matt Smith: Sorry. Apologies. Can you hear me now? Is that any better?
Gayn Erickson: Yes.
Matt Smith: All right. Just your level of expectation around some of these, either new markets or new segments seems to be increasing relative to maybe what you would have thought a couple of years ago or maybe even a couple of quarters ago. So despite the kind of short-term noise or like a demand we might be seeing on auto, is your expectation on the other segments kind of increasing to the point where you think you might be close to the capacity in a couple of years?
Gayn Erickson: Yes. Okay. So yes, let me -- kind of the historical perspective of the timing of it. I'll pick on what do I do, memory, because we didn't talk much at all about memory. What we've said is, if you invest in area, you are investing in memory. Memory has always been on our plans and we have different level of engagements and we're still talking with memory suppliers about potentially wafer-level burn-in. It is not deployed in mass yet, it makes sense at flash, it ultimately makes sense in DRAM. That's the longest term out there. We're not planning to get revenue in the next year. But I've even shared, we have specific long-term bonus and KBOs for every manager and my staff and myself to get into memory. So that is a real thing. Back up a little bit, it's gallium nitride. We just talked about gallium nitride just like within the last nine months and what we said at the beginning of the year is, we're getting -- we're going to work to engage with the leaders, which now I'm very comfortable we are, to understand the requirements and what their needs are, and -- so we can be there to address their needs and to learn and understand if there is a large production opportunity. What I will share with you is that, we've learned a lot already together with those customers. There is some things about it and I'm not going to get into it [indiscernible] but there is some real tricks that we've been able to help our customers to solve that are unique to GaN versus silicon carbide. And honestly, I'm super happy about it, I am a bit of a technical nerd, but the things that we're able to do with the customers are really impressive and that's great and puts us in a very good comfortable position to be able to be there. There is data that is now supporting the need for production burn-in. We are still getting our arms around how big that is and so we haven't put out any actual numbers. But I do believe much more confidently now than two quarters ago that there will be production business for us versus before it's more of an investigation. Okay? And then the one prior to that would be -- another one was silicon photonics. The first time I talked about silicon photonics IO was December of 2022. So it's only been a little bit of a year ago. And at that time, I mentioned that early indications from the likes of an Intel had actually started to talk about it in demos on their website they would -- Pat Gelsinger was giving up and talking about this. And it's like boy, something sure seems like they are brewing around that. And people said, what do you think? And my question was, listen, that would be fantastic and it makes sense, because it has all the same needs. It needs burn-in. It's a compound semiconductor, both for reliability and stabilization. Its application is a multichip module, meaning, you'd want to do it at die level, because if you put it in with a graphics processor or a central processor or something else, you don't want that device being thrown away if this one fails. Okay? The early indicators where we had gotten some NP engineering and then we got a production order last May, and people asked, what did you think? I said, I was surprised. That seems sooner than expected. That's the one we're working on to ship this quarter by next month. Okay? So we're now seeing more visibility of that. And candidly, and I don't want to get too carried away on this AI thing, but the people are out -- Nvidia and AMD and intel have been talking about one of the big problems with these AI processors is their chip-to-chip bandwidth, or they can talk internally to the die that are inside, but even that's at a bandwidth limitation. So each of those have talked about how do I actually integrate an optical interface to be able to overcome the bandwidth limitations of an electrical interface? And TSMC and global foundries have been making big investments to be able to help them with that, or the IDMS' of the world, like an intel would be doing it themselves and AMD[ph] somewhere in between. So what we think is, that looks like a really interesting opportunity and it's right up our path, because what we do there is candidly even more unique than even the silicon carbide because of the power. The interesting thing is, if you walk up and look at it, it looks like the same system that we're shipping to silicon carbide. But instead of high voltage, we're talking about high power, in this case, lower voltage and a lot of current. And so, with -- the mix and match of the platform allows us to do that. So this is actually just a reconfiguration of the same system that we were shipping to the likes of silicon photonics customers and 2D, 3D sensors like on the facial recognition on mobile phones, it's the same one but even higher power than that. So I'm still not clear. I would tell you, people's roadmaps are really close to their chest. This is not something you're going to publicly read about how big the market is going to be. One of these days, you're just going to see one of those big suppliers show up with the product and that's where the market is going to come from. So, some of the stuff we're doing the hardest thing is, you can't go out and read about how big the market is going to be because it didn't even exist beforehand. So anyhow, those are some of the other markets that we're doing. I hope that gave you probably more color than you are even looking for.
Matt Smith: I think what I was trying to get at is, it seems to me that the growth rate of these, let's call it, non-core business segments for Aehr today, it's probably going to be like higher than the growth rate within the kind of core automotive silicon carbide market. Is that kind of how you would think about just the sheer quantity and the sheer magnitude of those opportunities?
Gayn Erickson: Okay, two things. Okay. So if you're going to take growth rate, be careful, because a small number of growth rate can seem large and it's a small number, so are there -- are those bigger? The optical IO market, we've said, we think can be as big or even potentially bigger than even silicon carbide simply because of the potential units and the test time, the dollars, it turns out it's actually much more expensive for us to build, even though it's extremely cost-effective. So it has the ability to be bigger. Memory absolutely is the biggest of all of them, right? And GaN is a TBD, I think, but it looks promising. So if I try and give you relative sizes, okay?
Matt Smith: All right. Thanks. I appreciate the color.
Gayn Erickson: Okay.
Operator: Thank you. The next question is coming from Larry Chlebina from Chelbina Capital. Larry, your line live.
Larry Chlebina: Hey, Gayn. I have several questions and we get through them fairly quickly. We are getting late. Do you expect follow-on orders and shipments this fiscal year to the fully automated silicon carbide customer that you just booked the revenue last quarter. Do you expect shipments and revenues, additional follow-on with revenues this fiscal year from that customer?
Gayn Erickson: Yes. We -- I am looking down to the whole list here. I think we are expecting some level of revenue from most customers including them.
Larry Chlebina: That was a significant order and since they ordered two of them, I would expect there -- they have a significant ramp that they’re going to need some more capacity.
Gayn Erickson: Hi. All of these -- all of the customers need significant more capacity to meet their revenue forecast. That’s correct.
Larry Chlebina: Could it be that maybe the slower uptake of some of these customers, particularly the one you've been working on forever, is simply the fact that they're building 200-millimeter fabs and they're waiting for the 200-millimeter wafers before they commit to your full system so that they don't have to buy two sets of wafer packs? Why start at 150 if you wait a little bit you're going to be on 200. Maybe they have a bunch of single wafer probers that they can get by on. It's not efficient but could it be something along those lines?
Gayn Erickson: I don't think that -- it could be, Larry. I mean I don't think so. I look at each individual customer. Most of them are all planning to go from 150 to 200. Now, it's not -- so if you -- let's say the 200 is a new line completely. Very often people may want to change their strategy and go from discrete to die level on a new line, let's say. In that case, maybe you're right, they would time it with the 200-millimeter ramps. But that hasn't been how it has felt to us. People have -- I think the 200-millimeter is coming. I mean, we're testing 200-millimeter wafers today from multiple customers, right? We see it. I think it's kind of consistent with everything that everybody's hearing. We don't have any particular great insight. I just don't -- it's not -- I think it's slower than people have originally thought. I don't think it's going to be 100% of the market, it's going to -- through the end of the decade, there's still going to be a big chunk of 150-millimeter wafers being built. One of the big discussions that's going on is will, a 200-millimeter wafer yield higher than 150 at a lower cost per yielded die? And right now I think everything I've read is not yet, and so -- but that's also very true with most of these transitions. It's sort of chicken and egg, you have to lead with it and then eventually your costs come under control. But one thing with us is that, the system is fully compatible between 150 and 200. You can build our auto aligner and it can work with both. We have current customers that in the same day are doing both. And so -- and the wafer packs, there are some things we can do with wafer packs to actually leverage and help with that too. But yes, I don't think that's the majority of it, but it might be on some customers.
Larry Chlebina: Okay. On the optical IO customer, it's interesting that they started with [NPs] (ph), if I recall, four of them that is scattered around the world, and then now they're pushing you to pull in and complete as soon as possible the production XP for that application. It would seem that in a fairly short time, maybe sooner than later, they might be needing quantities of production tools. As fast as that market is growing on the AI front, possibly it would give them a terrific leg up on their competitors. Do you think that could be something that might be at work here?
Gayn Erickson: Maybe, yes. I mean, we're preparing the tool. It will allow us to duplicate and build multiple of the same flavors. One of the nice things that we did with this one is the system is actually in the new chamber configuration, so it bolts right onto the front or the back, if you will, of the aligner. So they could do it either with offline or integrated. It was not purchased with the integrated aligner, but we could easily upgrade it in the field if they wanted to do that. And we think -- I think that makes sense for that market. I think the aligner is the right answer. And as high volume, that would totally make sense.
Larry Chlebina: Exactly. So along the high volume. Last question on the -- you mentioned many times that every DRAM is burned in, I'm assuming some kind of exotic package part of burn-in or whatever. But the -- the large DRAM producer in the US is planning on building actually several fabs in the US. And they're also introducing high bandwidth memory this quarter, I believe, with 12 stacks of DRAM on top of it. It just seems like a layup. I know it's more complicated than that, but an application that would lend itself towards wafer-level burn-in versus doing testing on that stack and finding you got a bad die in there somewhere. Would it make sense to try to get an evaluation tool on a fully automated XP over that memory customer before they set their plans on clean room space and so on and so forth, particularly before they commit to building those fabs.
Gayn Erickson: I mean I don't want to get too much into it, but on DRAM, there's a couple of other things that need to happen with DRAM to be able to cost-effectively do a wafer-level burn-in. And we've had some conversations related to those DFT nodes and what will be needed. Fundamentally, I mean, the HPM device can have a thousand pins on it. Let's say you have 1000 die on a wafer, that'd be a 1 million-pin wafer pack. You couldn't build one of those. Okay? And if you could, it wouldn't be very cost-effective. So the net here is, that's not the right answer. The answer has to do more with the DFT modes of something like the flash memory that I'm familiar with. And so there's some other things that need to happen, and we're looking to help enable that. Flash memory is probably the leading edge of this instead. It's easier to get there, but it's pretty specific, Larry. But I mean DRAM would be I'd say probably the most impactful to the financials of those companies, and so they would have the vested interest to make those changes to their devices. Let me leave it at that, okay?
Larry Chlebina: Okay, that's all I had. Take care, you guys.
Gayn Erickson: Thanks, Larry.
Chris Siu: Thank you.
Operator: Thank you. This does conclude today's call. I will now turn the call back to Aehr Test management team for closing remarks.
Gayn Erickson: All right, thank you. I actually wrote myself a couple of comments here I just wanted to do just make sure to summarize because I mean candidly this is the first time we've come in and lowered and so we've tried to do our best to ensure that all of our shareholders, our customers, our employees understand that where we're at. We're not in DEFCON 5 position here, we lowered our growth expectations but believe that they're going to recover as we go forward. Aehr Test has spent a lot of time selecting and focusing on some really incredible markets some of those selected us if you will and we believe we're going to give us the opportunity to have more than our fair share of growth in the semiconductor capital equipment market. We're actually growing faster than semis and semiconductor capital equipment this year, right? So that -- there is a little interesting, people don't put in perspective. We're focused on production wafer level test and burn-in of silicon carbide, gallium nitride. We've talked about the growth and electrification worldwide infrastructure, electric vehicle traction inverters, infrastructure, data centers, solar, numerous industrial application and we're candidly focused on engaging with mobile companies in the silicon photonics, okay? And we talked about the large companies that have roadmaps that are heading in a direction if you will where we have gotten to a place where they're coming towards us, okay? We also talked about memories and I think as memory goes towards things like heterogeneous integration for graphics, AI processors, et cetera, long term, that's going to make sense for this as well. There's these large macro trends that are going on, semiconductors are going to double in the next seven, eight years. More semiconductors are less reliable, compound semiconductors, smaller line widths et cetera, and more and more semiconductors are going into applications that really matter like automotive applications and sensors and things like this, and the heterogeneous integration, which is the result of the end of Moore's law, people are having to put more chips together in the same package to be able to continue to meet the technical roadmaps and when they do that, burning them in in the package or module form doesn't make sense. These are all things that are aiming towards us for our solution and candidly, we think we have a unique -- integrated a unique technology and solution for providing a one-stop shop for the systems, contactors, applications, test programs, and have the ability and the capacity and the lead times to meet the customer needs. So we're going to focus on market share, and we're going to focus on maintaining and growing profitably, right? If we can maintain a high market share in these new exciting growth markets, we think we can achieve strong growth in a healthy profitable manner and that's going to reward our shareholders, employees, and our customers. And so with that, I really thank everyone for attending and we look forward to providing you all with an update at our next quarterly conference call. Take care.
Operator: Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.